Operator: Good morning, and welcome to the Ranpak Holdings Corp. First Quarter 2025 Earnings Call. All participants are in a listen-only mode. After the speaker’s remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Sara Horvath, General Counsel. Please go ahead.
Sara Horvath: Thank you, and good morning, everyone. Before we begin, I’d like to remind you that we will discuss forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our Form 10-K and our other filings filed with the SEC. Some of the statements and responses to your questions in this conference call may include forward-looking statements that are subject to future events and uncertainties that could cause our actual results to differ materially from these statements. Ranpak assumes no obligation and does not intend to update any such forward-looking statements. You should not place undue reliance on these forward-looking statements, all of which speak to the company only as of today. The earnings release we issued this morning and the presentation for today’s call are posted on the Investor Relations section of our website. A copy of the release has been included in a Form 8-K that we submitted to the SEC before this call. We will also make a replay of this conference call available via webcasts on the company website. For financial information that is presented on a non-GAAP basis, we have included reconciliations to the comparable GAAP information. Please refer to the table and slide presentation accompanying today’s earnings release. Lastly, we will be filing our 10-Q with the SEC for the period ending March 31, 2025. The 10-Q will be available through the SEC or on the Investor Relations section of our website. With me today, I have Omar Asali, our Chairman and CEO; and Bill Drew, our CFO. Omar will summarize our first quarter results, and Bill will provide additional detail on the financial results before we open up the call for questions. With that, I’ll turn the call over to Omar.
Omar Asali: Thank you, Sara, and good morning, everyone. Thank you for joining us today. Today, I’ll start by discussing the first quarter, which at this point feels a lot less relevant given everything that has transpired over the past 6 weeks. I will also discuss the impacts global trade discussions are having on our business and what we are doing to adapt to the current environment. Generally speaking, the diversity of our business geographically and across end users, as well as strong momentum with enterprise accounts, gives me a great deal of comfort that we’re in a solid position to weather the likely disruptions and slower near-term outlook as the trade discussions ripple throughout global economies. Regarding our results, our volume momentum continued as we began 2025 with our 7th quarter in a row of volume growth. Consolidated net revenue increased 8.8% on a constant currency basis for the quarter, including a 0.9% non-cash headwind from the Amazon warrants, driven by 12% volume growth as e-commerce activity drove outsized growth in North America. Our North America business continued its strong growth and was the key driver of top-line performance with sales up 33% and volumes up more than 40% over Q1 of 2024. Similar to the fourth quarter, we saw broad-based top-line strengths in Q1 as enterprise accounts contributed excellent growth consistent with what we saw in 2024, and end users in our distribution channel experienced increased demand as well. Our team continues to execute well with the wrap-up of these larger accounts, and we believe that has well-positioned us to continue to grow with these critical customers in 2025. We’re deepening relationships with the biggest players in e-commerce and retail, setting us up well for further growth in 2025 in North America. Of course, our future growth potential here is subject to those macro factors that I just mentioned. Europe and Asia Pacific started off the first 2 months of the year up slightly in terms of volume, but experienced a weaker than expected March, which led to a challenge top-line and volume contribution for the quarter. As the quarter went on, the environment in Europe deteriorated with activity slowing meaningfully in March. April saw stabilization as volumes were upwards as the prior year, but overall activity in Europe does feel worse compared to where we started the year. Automation started the year up slightly on a constant currency basis versus 2024 as some projects move from Q1 to Q2 due to customer delays. But, overall, we feel very good about our ability to grow this business meaningfully and in line with our previously shared expectations of 50% growth. Our differentiated solutions and expected strong payback profiles for high volume customers makes for a strong value proposition. On a constant currency basis, adjusted EBITDA declined 7.8% for the quarter, including a non-cash impact of the Amazon warrants, which contributed a 4.2% headwind to our reported figures. Excluding the impact of the Amazon warrants, adjusted EBITDA declined 3.6% year-over-year. Overall profitability was negatively impacted by increased input costs year-over-year and lower sales volume in Europe and Asia Pacific, as well as negative mix impact of outsized contribution of enterprise accounts in North America and temporary production inefficiencies. The input cost environment continues to vary by geography. In the U.S., pricing has moved up given the greater demand in the market for kraft paper, which became increasingly tight in the fourth quarter and led to some mill disruptions that lasted into Q1. Challenges with longer lead times at the mills led to short-term inefficiencies in areas like freight and logistics. And as a result, we invested in more inventory in the first quarter to protect against further disruption. We have taken price in the second quarter in order to offset some of this increase and improve our margin profile and utilize longer lead times to enhance our planning and runtime, which will benefit margin beginning in Q2 as well. In Europe, the energy markets remain volatile, but pricing for Dutch nat gas is down roughly 40% from its February peak. Our paper pricing for the first 2 quarters is consistent with Q4 2024, but it’s up slightly year-over-year. We are seeing some mills look to raise pricing for the back half of 2025, but we are taking steps to mitigate the impact through greater raw material purchases in the second quarter. Overall, though, in Europe and in Asia Pacific, we believe we are well positioned to maintain our attractive margin profile we clawed back post-COVID. We’ll take you through the tariff impact, what we’re seeing and steps we are taking to improve our financial profile in this environment after Bill’s remarks. To summarize, given the operating environment uncertainty, we are tightly managing our business in the near-term, while maintaining focus on the long-term health and potential of our company. Our focus is on driving volumes and winning share, reducing our structural costs and maximizing cash. We have moved quickly to address areas of inefficiency and to reduce costs to better align our cost structure with the current outlook. With that, here’s Bill with more info on the quarter.
William Drew: Thank you Omar. In the deck you’ll see a summary of some of our key performance indicators. We’ll also be filing our 10-Q, which provides further information on Ranpak’s operating results. Overall, net revenue for the company in the first quarter increased 8.8% year-over-year on a constant currency basis driven by exceptional volume growth in North America offset by top-line headwinds in Europe and APAC. For the quarter in the Europe and APAC reporting division, combined revenue decreased 6% on a constant currency basis driven by lower PPS volumes in March and timing of automation projects compared to the prior year. Automation sales in EMEA were in line with expectations and we expect to achieve meaningful automation growth in the region in 2025. North America posted another excellent net revenue quarter driven by 45% PPS volume growth which led to net revenue growth of 33.5% for the quarter. The momentum in North America enterprise accounts remains excellent as our execution continues to deliver strong results in PPS, and we believe we have the potential for substantial automation growth in North America in the second half of the year. Gross profit declined 2.5% in the quarter on a constant currency basis, as lower volumes in Europe and APAC combined with higher input costs, drove a 6% decline in gross profit in the region, and unfavorable mix and inefficiencies in North America contributed to a lower overall margin profile for NOAM. As Omar mentioned, we took action in order to claw back input costs headwind in North America in the second quarter and believe the inefficiencies due to paper market lead time disruption will be resolved in Q2. Overall, we believe we can improve the gross margin profile as we get more efficient with our operations and our cost reduction actions take hold. SG&A, excluding RSU expense of $28.9 million, was up 0.4% versus prior year. We’ve chosen to defer most spend until conditions improve and have identified structural cost reductions of $8 million, which we are implementing to improve our financial profile. Lower gross profit from EMEA and APAC volume decline and slightly higher G&A took a decline in adjusted EBITDA of 7.8% in the quarter on a constant currency basis. This reflects a non-cash impact of $0.8 million, or 4.2%, from the reporting impact of the Amazon warrants. Excluding the impact of warrants, adjusted EBITDA would have declined 3.6%. Moving to the balance sheet and liquidity. We completed the first quarter with a strong liquidity position and recently refinanced credit facility. We had a cash balance of $65.5 million and no drawings on our revolving credit facility, bringing reported net leverage to 4.3 times on an LTM basis and 3.9 times according to our bank leverage ratio. Since the start of the year, we invested in more than $10 million of additional paper inventory to reduce the impact from mill lead times and potential disruptions and ensure we can satisfy our customers’ demand, particularly as the large customers ramp up. As the year progresses and we get more comfort in the operating environment, we expect to work this inventory level down. Our credit facility is all USD, so we utilize cross-currency swaps to hedge $210 million of our capital structure. These swaps reduce our USD exposure with euro exposure, reducing our currency risk as it relates to debt service, and also enabling us to save on interest expense by swapping our SOFR exposure with Euribor, giving us roughly 130 basis points on the hedged portion annually. We generate more than half of revenue and adjusted EBITDA in Europe and APAC, so to the extent that the euro continues to rise against the dollar, our profits and cash generated there can be a powerful tool to help us delever. Our CapEx for the quarter was $7.5 million in line with our expectations and largely related to PPS converter spend. Capital expenditures are the area most directly impacted by the evolving tariff landscape. Our spend on converters for use in Europe and APAC is not impacted, but the converters we purchase and build for the U.S. market rely on parts and units sourced from China and other Asia Pacific countries. We’re closely evaluating our spending plans in light of recent developments and focusing our efforts on minimizing the impact through alternative sourcing and an even greater focus on refabrication and refurbishment of older converters in the field. Again, while the environment around this is obviously uncertain, from a paper sourcing perspective, we expect minimal impact as we source locally in our production areas. One final area to mention is that this is the first quarter in which we see the impact of the Amazon warrants flow through. Again, as you see us report going forward, there’ll be some noise related to the revenue associated with Amazon as the value of the warrants are recognized That means each period, there’ll be a noncash decrease to our reported revenue figures, which will flow down through the income statement to gross profit, adjusted EBITDA and net income. In the first quarter, the impact of this was $0.8 million, which impacted our sales comparisons by 0.9% and adjusted EBITDA by 4.2%. In our earnings release, when we file our 10-Q, you will see the impact of this clearly in the statement of cash flows, where it gets added back into the cash flow from operations as well as in the footnotes, where we’ll break out the value for the period. When evaluating our performance, we recommend also looking at our income statement figures on an as adjusted basis by adding those revenue offsets into understand our performance. With that, I’ll turn it to Omar.
Omar Asali: Thank you, Bill. Now to come back to what we are seeing on the ground in the 50 plus countries we operate in and what we are doing to improve our position. To provide some clarity on the impact of tariffs, I’d like to point out we have a diverse global business with more than 50% of our net revenue generated in regions where our cost of goods sold and capital expenditures are not directly impacted by tariffs outside of what it does to business and consumer confidence. Business in Europe and APAC reporting unit is conducted largely in euros, which has appreciated meaningfully against the dollar, providing us with a benefit against our USD term loan. We are in cash generation mode in these regions to best position ourselves to benefit from the stronger euro currency. In the U.S, the impact of tariffs is largest to our capital expenditures of our PPS converters, some of which are purchased from manufacturers in China or in the case of machines we assemble and manufacture ourselves in North America, contain parts and components from China and other Asian countries. We’re taking steps to minimize the potential impact of these tariffs by evaluating alternative parts and global suppliers as well as stepping up our efforts to refabricate and refurbish existing machines in our fleet to reduce cost. At this time, we are focused on minimizing our converter spend by getting units back from the field and refurbishing them to minimize spend. In automation, our box customization equipment is currently made in Europe and shipped to the U.S., and thus will be subject to the European tariff rate. The majority of parts used to assemble those machines are European as well, so we do not have much exposure to tariffs on Asian countries for our box customization solutions. We are focused on cost out and efficiencies to minimize the impact to our customers and believe that the value proposition of our equipment to our customers remains extremely compelling even with the current additional tariffs. We believe this could also provide an opportunity for us to take share versus the more expensive three-dimensional box customization technologies, which is more expensive and is also manufactured in Europe. Our automated dunnage insertion solutions and decision towers are assembled in the U.S. With some parts coming from Asian countries that are currently in the 90-day reprieve window. At this point, we do not expect the tariffs to meaningfully impact demand for our solutions, given the strong performance and payback, which is becoming even more critical in this environment. As Bill pointed out, our largest input cost, which is kraft paper, is not currently impacted by tariffs as we source paper locally for use in our different regions. Given the operating environment uncertainty, we are tightly managing our business in the near-term, while maintaining focus on the long-term health and potential of our company. Our focus is on driving volumes and winning market share, reducing our structural costs and maximizing cash. We have a world-class platform and a strong momentum in many areas of the business. We are thankful for the investments we have made and feel like they position us well to continue to drive the business forward even in this challenging environment. Thank you all again. At this point, we’d like to open the line up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Greg Palm from Craig-Hallum. Please go ahead. Your line is open.
Danny Eggerichs: Yeah. Thanks. This is Danny Eggerichs on for Greg today. I appreciate you taking the questions. Hoping to kind of dig in a little more on the geographies. Obviously, it sounds like North America was good in the quarter and continues to be so. But maybe a little more color on what exactly you saw in March in kind of the EMEA, APAC regions and now that you’ve seen some stabilization here in April, maybe what your confidence level is in the region, I guess, kind of in the months ahead?
Omar Asali: Sure. Yeah. Good morning, Danny. So just going geographically, as you outlined, North America is very robust, continues to sort of exhibit a very strong funnel of growth and great trial activity for us, and a lot of it is driven by the large enterprise accounts. And we frankly see that continuing for the rest of the year. In Europe, let me take that first before Asia Pacific. I would say Southern Europe feels stronger than Northern Europe for our business. The Nordic region was a little bit weaker. And then in Central Germany was a bit weaker as consumers and, frankly, CEOs and companies were a little bit more cautious. So, we saw a little bit of softness there and we saw a bit more strength in the southern part of the continent. In April, we saw some good stabilization. We’ll see how things go from here. Frankly, it’s very tough to assess where Europe is going. On the one hand, with some of the legislations that are happening and stimulus in Germany and some of the discussion around defense industry, et cetera, we see some potential for a pickup in activity. On the other hand, I know tariffs are obviously weighing on them and weighing on consumer sentiment. So, we continue to monitor things very closely in Europe. In Asia Pacific, it’s obviously a very broad region and there’s a lot of varying sort of performance. The strongest region for us or country is Japan, which continues to exhibit quite a bit of momentum and we’re excited about what we’re seeing there. In Southeast Asia, it’s a little bit more mixed. And then Australia is also a little bit more mixed. But our expectation for the rest of the year is quite constructive sort of on Japan. If you summarize for our business, you basically have overall a very strong North America market for now. You have a pretty decent level of activity overall in APAC driven by Japan. And then, Europe is the area that is exhibiting some softness that we’re watching more closely. And then, if you overlay that with our expectations of growth in automation that we think will deliver outsized numbers this year, we believe that overall the growth picture for us will continue to be robust. And, frankly, this is our 7th quarter in a row of showing decent volume growth. And in almost 5 of those 7 quarters, our volume growth was double-digit or north of 10%. And we think that will continue for the rest of the year.
Danny Eggerichs: Okay. Great. That’s really helpful. And then you mentioned kind of the automation in there. I was hoping to kind of maybe hit on some of the pushouts you saw from Q1 to Q2. So, do we expect those to all hit in Q2 now? Or is there any risk that that continues to push out just based on what we’re seeing in the macro? I know you kind of said you’re still confident in that 50% growth rate, but just kind of seeing how you’re thinking about that.
Omar Asali: Sure. Yeah. No, that’s a great question, because obviously automation is a big driver of growth and a big area of emphasis and investment for us. I would say we entered the year feeling very, very bullish. In automation, I will tell you because some of these projects are sizable, it’s very tough to be precise that something is going to be signed before a particular quarter. So, it’s very possible that instead of signing something by end of March, it may slip to middle of April just given the nature of the integration and the documentation it takes to do automation projects. So, I’m less worried about a shift from one quarter to another per se as long as we are winning these projects. So that’s point one. Point two, what gives me a lot of confidence, Danny, is we are working with some new accounts, but more importantly, we’re working with existing accounts about more and more installations and more equipment. And from everything I’m seeing after all the announcements and the uncertainty about tariffs, these projects continue and continue at a very good pace. So, I’m confident in the 50% plus for the year, just given the visibility I have and the funnel I’m seeing and some of these deals that we’re trying to sign. I think we’re going to sign a lot of them in Q2, because some of them that slipped from the end of Q1, they continue to sort of move at a good pace and some of them already signed in this quarter. So, I feel with many of our customers that require big automation needs, things are on track. Now, let me just interject here a little bit about the macro environment. Because, obviously, with the announcement around tariffs, we all worried here, is that going to delay some automation projects? Is that going to delay CapEx? How our customer is going to react? And I’m going to simplify and tell you things fall into two buckets. The large accounts and the large players in e-commerce, in retail, et cetera, and some even in industrial, we see them pushing forward on automation. If the ROI is there, if the payback is there, the feedback they’ve given us is these projects are very important and they’re not going to delay them because of tariffs. In particular, if these projects come with savings around labor, there is a big concern other than tariffs out there that we’re seeing around the border policy, migration policy, et cetera, and what that may mean for warehouse workers, what that may mean for labor and tightness of labor market. So, we’re actually quite enthusiastic about what we’re seeing on that front. So that’s on the one hand the bullish side of what we’re seeing in automation post the tariff discussion. On the other hand, there are some companies, think apparel, maybe think footwear, et cetera, some companies that are hit pretty hard around the tariffs and a lot of their product maybe comes from China, those companies are deferring automation projects. But that is not a huge part of the universe of companies that we tackle. So if you put it all together, we remain very confident in sort of our growth trajectory in automation.
Danny Eggerichs: Okay. I appreciate that. Maybe if I could just sneak in one last quick one on margins, obviously, came in a little bit light this quarter, you kind of gave the factors that that played into that. But now as you kind of initiate some of these pricing and cost management initiatives, how should we think about the benefits of those things flowing through Q2 and in the coming quarters? How should we think about gross margin trajectory?
Omar Asali: Sure. I’ll let Bill take that.
William Drew: Sure. Thanks, Danny. So, as far as the gross margin outlook, right, in the prepared remarks, we had helped fund some of the actions that we’re taking to improve our margin profile, right? So we’re taking price. We’re doing some operational initiatives, taking cost out right across the board. So, we do expect gross margin to improve from Q1 to Q2 with the bulk of the majority of the improvement coming Q3, Q4, right, as some of these cost initiatives take hold. But we would expect you to see a step up of a few points from Q1 to Q2 and then again into Q3.
Danny Eggerichs: All right. I appreciate it. I’ll leave it there. Thanks.
Omar Asali: Thank you.
Operator: Our next question comes from Kieran McCabe from Cantor Fitzgerald. Please go ahead. Your line is open.
Kieran McCabe: Hi, guys. This is Kieran on for Troy Jensen. Just a follow-up to that last question. Maybe could you provide any kind of detail on the cost reduction outcomes you’re taking as it just operating more efficiently? And any kind of details you can provide on that?
Omar Asali: Yeah. Sure. I’ll start, Kieran, and then I’ll turn it over to Bill maybe for a bit more detail. So a couple of things. If you look at Q1 and a little bit Q4 of last year, some of our suppliers just like us frankly were a bit surprised with some of the growth in North America and some mills ran into some operational issues getting us paper on time, frankly, an unrelated to even some of the volume trends. Some of them had some equipment issues and maintenance issues that limited their ability to produce in time and in full for us. So that meant, in particular this quarter and a little bit in the prior quarter, we were buying product in the spot market. We were trying to sort of make sure we have enough inventory to sell to our customers. And when you do that last minute, clearly that came with some inefficiencies, not just in the cost of the product, but in adjacent costs like warehousing and freight and all that. So that impacted margins quite a bit. And part of the initiatives that you’re seeing us do right now is better planning, better forecasting and frankly that’s already starting to have an impact in this quarter. And as Bill said, we think that will improve in the next quarter. So, some operational efficiencies and cost outs around freight warehousing should help. We are also looking at the organization and looking at the team and where we have some redundancies et cetera. We’re being very prudent in reducing costs and spend there. And then, in automation, we’re also investing quite a bit in some operational efficiencies, frankly, driven by scale. So, one of the things that we’re doing is as we ramp up and win more and more accounts and with some of that scale, we are becoming a more and better efficient operator and helping margin that way. So these are some of the cost initiatives that we’re embarking upon. And then maybe Bill can add some color.
William Drew: Sure. So I mean roughly half or the bulk of it, right, would come through headcount. There’s just certain areas where as we make some of these efficiencies, just wouldn’t be required anymore. So, we’ll be able to take that structural cost out. As Omar mentioned, freight and logistics is a key piece that we’ve been doing a lot of work on, moving product between our different facilities. So, there’s good opportunity there to take cost out outside the storage, right, or certain things as we work down this paper inventory, which we’re well situated with at the moment, will come into effect. And then other just areas that we’re just being extremely tight on given the environment is discretionary spend. So things that are nice to have, not need to have at the moment are just being put on pause, and we’ll evaluate as the year progresses.
Kieran McCabe: Perfect. Thank you so much.
Operator: We have no further questions in queue. I’ll turn the call back over to Bill Drew for closing remarks.
William Drew: Great. Thank you, Julianne, and thank you all for joining us today. We’ll see you next quarter.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.